Ivan Vindheim: Good morning, everyone, both in the room and online. Welcome to the presentation of Mowi's Second Quarter Results for 2024. My name is Ivan Vindheim and I'm the CEO of Mowi and the movie you just saw was from the opening of a brand-new state-of-the-art 100,000 tonnes primary processing plant at Josnoya in Hitra municipality in central in Norway; a EUR72 million investment on time and on budget and with good value for money, I would say. So kudos to the organization for that, and not to mention 120 valuable jobs in coastal Norway, and yet another example of the salmon industry contributing to keeping coastal Norway alive and thriving. As we do in Scotland, in Ireland, in the Faroes, in Iceland, in Chile, and even in Canada and British Columbia, if anyone happens to believe otherwise. Otherwise, I have, as usual, our CFO, Kristian Ellingsen, with me today to help me with the financial figures and fundamentals. And after the presentation, our IRO, Kim Dosvig will routinely host a Q&A session, but also who are following the presentation online can submit your questions or comments in advance, or as we go along, by email, which is particularly relevant this morning as we present at Vestland pa Bors today in Bergen and not in Oslo as we normally do. So please refer to our website at mowi.com for the necessary details. Disclaimer, I think we leave for self-study. So then we're ready for the highlights of the quarter. And as the first bullet point reads, Mowi recorded EUR1.34 billion in operating revenues in the second quarter, which translated into an operational profit of EUR230 million, which is in line with the trading update by the 15th of July. And if I am to sum up the quarter in just a few words, I would say it was a strong quarter for Mowi operationally with good biology and seasonally record high growth in sea, to mention a few, after what I think is fair to say was a rather rocky start to this year biologically with sore issues in Mowi Norway in the first quarter. And this materialized in seasonally record high harvest volumes in the quarter of 110,500 tonnes, which is put on our guidance, and irrespective of season, a record high standing biomass in sea at the end of the quarter or 327,000 tonnes, which is up by 28,000 tonnes year-over-year or 9.4%. Biology has also developed well through the summer and into the third quarter. So we therefore reiterate the farming volume guidance of 500,000 tonnes for the year, which is a milestone for us as it will be the first time in Mowi's six years history we cross the, for us, the magic 500,000 tonnes mark, and which is equivalent to a growth of 5.3% year-over-year, and by that, surpassing that by the industry by large margin again, because according to Kontali, the industry will grow by only a marginal 1% this year. So Mowi's idiosyncratic growth continues. I would like to remind the audience that we harvested as recently as in 2018 only 375,000 tonnes in Mowi, which means we have grown our farming volumes by as much as 125,000 tonnes over the past six years or a CAGR of 4.9%, as we can see from the chart here. And this is important because, as we have said numerous of times, farming volumes and therefore farming volume growth are the mainstay of our business model and the lifeblood of this industry. Otherwise, good biology also manifested itself in a drop in realized blended farming cost in the second quarter, i.e., weighted farming costs for our seven farming countries down by EUR0.21 per kilo quarter-over-quarter from EUR6.05 per kilo in the first quarter to EUR5.84 per kilo in the second quarter. And we expect a further decrease in the third quarter due to higher harvest volumes and therefore more dilution of fixed costs in addition to lower feed prices as fish meal and fish oil supply recovers, driven by a normalized anchovy fishing season in Peru this year following the end of El Nino induced shortages. Whilst volume and cost development were on the positive side in the quarter, I think it's fair to say that our price realization was more of a mixed bag. The prices in America are lagging behind in the wake of the cost of living crisis there and a price achievement for Norwegian salmon negatively impacted by knock-on effects from sore issues in the first quarter and still some downgrading in the second quarter, but which is now in the rearview mirror as the quality of our Norwegian salmon has been excellent so far in the third quarter. When it comes to two other divisions, both feed and consumer delivered a good quarter, I would say, at least adjusted for seasonality. I think that does it for the operational part of highlights. So now politics. As long feared and right before this summer, the incumbent government of Canada regrettably decided to ban farming in net-pens in British Columbia from 1st of July 2029 with intention to move the industry rather onto land or into closed containment systems, and that, despite a 40-year history of sustainable and responsible salmon farming in net-pens in these waters with First Nations, and after having created thousands of valuable jobs in coastal Canada. But it looks like emotion and political agendas have taken over facts and science in this case, which is of course really, really sad, as there is so much at stake here, but things are as they are and this farming region has never been particularly profitable for Mowi. Last year, we harvested 19,000 tonnes in British Columbia and we made EUR11 million through the value chain, which accounted for a modest 4% of farming volumes and only 1% of our total profit. And this year, we are barely breakeven. So with the framework conditions now seemingly significantly changed, we find ourselves obliged to explore our options before deciding what to do. So Board of Directors has therefore decided to undertake a strategic review of this farming region where we keep all possibilities open. Then the last bullet point on the highlights, dividend. The same Board of Directors has decided to distribute a quarterly dividend of NOK1.70 per share after the second quarter, which concludes the highlights. So now key financial figures. Kristian will go in depth on these numbers later this morning, so as not to be too repetitive, I will just touch briefly upon the most important ones now. And first, the turnover. If you already have been through when we recorded EUR1.34 billion in operating revenues in the second quarter, which translated into an operational profit of EUR230 million on the back of seasonally record high harvest volumes of 110,500 tonnes. Net interest-bearing debt came at EUR1.88 billion, which is somewhat above our long-term debt target of EUR1.7 billion, but equity ratio was a healthy 48% at the end of the quarter. So I would still argue we have a sound equity and debt composition in Mowi. In terms of -- furthermore, underlying earnings per share was EUR0.30 in the quarter and return on capital -- and annualized return on capital employed was 16%. In terms of regional margin through the value chain, we saw once again strong prices and margins for our European salmon and much stronger than those of our American salmon due to, as already said, a somewhat muted demand in Americas in the wake of the cost of living crisis there, which has impacted the salmon consumption in Americas more than in Europe where the salmon consumption so far seems fairly unaffected by the cost of living crisis and the market remains tight, I would say; probably in part due to the salmon's relatively larger footprint in the foodservice segment in Americas, in addition to a less developed salmon category in store. But in parallel with western countries continuing to recover, coupled with falling retail prices, we believe that salmon consumption in Americas will gradually pick up the pace as well. Otherwise, the spot price in the quarter saw the usual seasonal pattern with prices at record levels to begin with at least for the European salmon before falling sharply towards the end of the quarter on higher seasonal industry supply. And this time around, accelerated and compounded by the new stiffening regulation in the EU and the introduction of 96, our time limit on freezing of smoked salmon fillets to make slicing in the smoking process easier. And this led to, as expected, a building down of inventory among smokehouses in Europe in the quarter and therefore a one-off negative effect on the demand. Then our own price performance in the quarter, which I characterized as a mixed bag earlier this morning because outside Norway, it was strong, I would say, as it was above or oscillated around the reference price for all countries, which is the standard we like to hold ourselves to internally, whilst in Norway or for our Norwegian salmon, it was negatively impacted by contracts and contract prices below the prevailing spot price in the quarter in addition to knock-on effects from sore issues in the first quarter and still some downgrade in the second quarter, as well as our back-end loaded harvest profile. On a positive note, however, the quality of our Norwegian salmon improved markedly towards the end of the second quarter and has so far been excellent in the third quarter, and I guess you could add all origins to that. Then it's time to have a look at the different business entities in the quarter, and we start with Mowi Norway, our largest and most important entity by far. And let's take the numbers first. Operational profit was EUR149 million from Mowi Norway in the second quarter. Margin was EUR2.52 per kilo and harvest volumes, 59,500 tonnes. And as you can see from the chart there, both profit and margin are substantially down year-over-year due to lower price achievement, which you have been through already in depth. Other than that, I would say the second quarter was a strong quarter for Mowi Norway with good biology and seasonally record high growth in sea to mention a few. And I have to say it's particularly encouraging to see that cost is coming down and that we report exactly the same realized production cost in this quarter as we did in the second quarter last year. And furthermore, that outstanding biomass in sea at the end of the quarter supports our farming volume guidance of record high 305,000 tonnes for the year, which is another milestone for us. And finally that the FX hit in the wake of the unprecedented weakening of the NOK we saw last year is diminishing as it works its way through the value chain. In the second quarter, this disadvantage cost Mowi Norway EUR9 million or EUR0.15 per kilo. Then the breakdown of the margins for the different regions in Mowi Norway in the quarter. And for starters, I got to tell you, it's very pleasing to see region mid on top of the margin podium this time around with a margin of almost EUR3 per kilo because this is a region in which we have never really succeeded in Mowi and for which we therefore initiated our turnaround plan last year, as some of you may remember. Having said that, that doesn't mean that we are out of the woods yet because quarterly margins in this industry, they do fluctuate. That we know for sure, but it's most definitely a pat on the back along the way, which we will take with us in our further work with this region. Otherwise, region north and the region west saw fairly similar margin in the quarter on good biology and strong operational performance for region west part. For region north part, which is normally our best region on margins, margin was negatively impacted by still some aftereffects from this winter's biological issues in addition to low harvest volumes in the quarter and less economies of scale. Region south, on the other hand, was lagging somewhat behind in this quarter due to also low harvest volumes in addition to a back-end loaded harvest profile. And finally, all regions were hit by a soft price realization in the quarter due to contracts and downgrading. Then the last slide on Mowi Norway, our sales contract portfolio. Contract share was 30% in the second quarter for Mowi Norway and was, with that, in line with our guidance, and as said a few times already, these contracts contributed negatively to our earnings. As for the second quarter, we expect the contract share to be 16% with relatively stable contract prices quarter-over-quarter. And in volume terms, they are quite stable as well as we can see from the chart here. Then it's time to have a look at the other farming countries and we start with Scotland. Mowi Scotland delivered another strong quarter this year, I would say, with an operational profit of EUR44 million and a corresponding margin of EUR2.22 per kilo on 19,500 tonnes harvest volumes. And on the back of good biology in the first half of the year, I would say, it has continued through the summer and into the third quarter. And this, combined with lower sea temperatures in Scotland this year compared with three last years due to a cool and wet summer, I think we have a good starting point to deliver a better second half this year biologically, knock on wood. That said, still a heads up on the cost realization in the third quarter due to lower harvest volumes and therefore less dilution of fixed costs. Otherwise, our postsmolt production in Loch Etive is going well, and we plan to move the first batch to marine sites already in September or perhaps October, which bodes well for biological performance next year. And finally, we have started construction of a brand-new bespoke broodstock and egg facility at Ardessie, which will make us 100% self-sufficient for eggs when complete in 2025, which is another vital component in our biological turnaround plan for Mowi Scotland to mitigate the effects of climate change and rising sea temperatures. Then overseas to Chile. Mowi Chile delivered another set of good biological metrics in the second quarter, I would say, despite having been through an El Nino season, but soft prices in Americas weighed unfortunately once again on an otherwise good quarter for Chile. So the margin for our Chilean volumes therefore came to modest EUR0.86 per kilo in the quarter, which is considerably lower than that of our European salmon, and paired with 50,000 tonnes harvest volumes, this translated into an operational profit of EUR12.5 million in the quarter, which is substantially down from the EUR25 million we made in the second quarter last year on then 14,000 tonnes harvest volumes. Soft prices and margins were also a recurring theme for Mowi Canada in the second quarter, which resulted in an operational profit of EUR7 million and a margin of EUR0.70 per kilo on almost 10,000 tonnes harvest volumes. Also a heads up on cost realization in third quarter for Mowi Canada due to algae issues in British Columbia during the summer in addition to lower harvest volumes. Having said that, the second quarter for Mowi Canada will hardly be remembered for soft prices, margins and algae issues, but for what we addressed earlier this morning, the incumbent Government of Canada's infamous decision to ban salmon farming in net-pans in British Columbia from 1st of July 2029 with the intention to move the industry either onto land or into closed containment systems, and that, despite the 40-year history of sustainable and responsible salmon farming in net-pens in these waters with First Nations and after having created thousands of valuable jobs in coastal Canada. But as we said earlier this morning, it looks like emotion and political agendas have taken over facts and science in this case, which is of course really, really sad. But things are as they are and this farming region has never been particularly profitable for us. So with the framework conditions now seemingly significantly changed, we find ourselves obliged to explore options before deciding what to do. So we therefore decided to undertake a strategic review of this region where we keep all possibilities open. Then our two smallest farming entities, Mowi Ireland and Mowi Faroes. And if you take Mowi Ireland first, Mowi Ireland delivered another strong quarter this year, I would say, on good biology, which translated into an operational profit of EUR7 million and a margin of EUR2.22 per kilo on 3,300 tonnes harvest volumes. Mowi Faroes also saw strong earnings in the second quarter with an operational profit of EUR10.5 million by means of a rock solid margin of EUR4.13 per kilo on 2,500 tonnes harvest volumes. Operational metrics were also once again strong for Mowi Faroes, which is another confirmation of Faroe Islands' excellent conditions for salmon farming. Then the latest addition to the Mowi family, Arctic Fish, a 51% owned Atlantic subsidiary, which we took over in the beginning of last year. Operational profit was EUR1.2 million for Arctic Fish in the second quarter at least when we include Mowi group costs and margin was EUR0.94 per kilo. Excluding Mowi's group costs, it was EUR1.8 per kilo, and both bear the mark of very low harvest volumes in the second quarter of EUR1,300 tonnes, and therefore very little economies of scale. But underlying operational performance in the quarter was reasonably good, I would say, and has been good so far in the third quarter. Other than that, I don't think there is much more to say about Arctic Fish in the second quarter. So then I think we can conclude Mowi Farming and move on to Consumer Products, our downstream business. Consumer Products made an operational profit of EUR25 million in the second quarter, which is down from an unusual strong operational profit of EUR37 million in the second quarter last year, which is mainly explained by a slower market in Americas in addition to tighter margins downstream in Europe. Compared with the first quarter, however, the second quarter is actually slightly better and that despite the fact that Easter and Lent season were in the first quarter this year, which are normally earnings booster in this industry. In terms of the market, as said earlier this morning, we continue to see a somewhat muted demand in Americas in the wake of their cost of living crisis, which has impacted the salmon consumption in Americas more than in Europe where the salmon consumption so far seems fairly unaffected by the cost of living crisis and the market remains strong probably in part due to the salmon's relatively larger footprint in the foodservice segment in Americas in addition to a less developed salmon category in store. But again, in parallel with western economies, continuing to recover, paired with falling retail prices, we believe the salmon consumption in Americas will pick up the pace as well in due course. Then the last entity this morning, Mowi Feed. The second quarter is normally a low season quarter for Mowi Feed, but all that entails and this quarter is no exception, but adjusted for that, I would say the second quarter was another strong quarter for Mowi Feed with, among other things, seasonally record high sold volumes of 132,000 tonnes, which is up by 16,000 tonnes year-over-year or 14%, following seasonally record high growth in Mowi Farming in addition to new -- this year supplying our new farming region, Iceland. Furthermore, operational EBITDA was also seasonally record high in the quarter at EUR11 million, which is up from EUR10 million in the comparable quarter last year. And finally, feed performance was evidently strong in the second quarter, therefore all our volume records, which is of course extremely important for us as the world's largest salmon farmer. So then Kristian, the floor is all yours. You can walk us through the financial figures and fundamentals. Thank you so far.
Kristian Ellingsen: Thank you very much, Ivan, for a good walkthrough. Good morning, everyone. Hope you are doing well. As usual, we start with the overview of profit and loss, which shows the top line of EUR1.34 billion in the quarter and EUR2.7 billion year-to-date, both slightly down from last year. Operational EBIT amounted to EUR230 million on good operations, good cost performance, but with somewhat lower achieved prices than Q2 last year. With regards to the items between operational EBIT and financial EBIT, the net fair value adjustment of biomass was negative this time around, following the seasonal price development. And when it comes to income from associated companies, this is mainly related to Nova Sea where the operational result was EUR3.26 per kilo, which was a good performance including a positive FX gain from the weakening of the NOK, and in general, good price achievement, while price achievement was on the softer side for Mowi Norway this time around. Net financial items were mainly related to interest costs, and the earnings in the quarter translated into an underlying earnings per share of EUR0.30 or NOK3.51 per share, while cash flow per share was impacted by working capital and phasing of tax payments. Return on capital employed was 15.9% where the resource rent tax in Norway has been taken into account as a cost. Then we move on to the balance sheet where total assets were somewhat reduced from year-end 2023. Covenant equity ratio is 51%, stable from Q1. Mowi's financial position is strong, and we have a solid financing in place. The cash flow contribution from EBITDA was partly offset by working capital tie-up mainly related to biomass buildup and the tax payments, affected by resource rent tax for 2023. CapEx was reduced from 2023 as several large projects have been completed. This figure includes fixed-price MAB purchase in Norway of EUR5.9 million in the quarter, and in total, Mowi acquired four licenses in the Traffic Light System this year, partly in the fixed-price part in April and the rest in the auction in June. The latter was paid in July. With regards to the cash flow guidance for 2024, we have kept this unchanged at an overall level. CapEx and taxes have been adjusted somewhat down, while interests are somewhat up. The overview of our financing is unchanged from Q1. So we'll leave this for self-study this time around. Let us instead take a closer look at the cost performance, which is one of our strategic pillars in Mowi. And as we know and as we also see from the graph here to the top, costs in 2021 to 2023 increased for the industry as a whole, also for Mowi, driven by post COVID inflation, particularly on feed. The positive thing here is that we have seen a recent easing of this inflationary pressure with the feed prices decreased around 5% year-to-date. We see that the cash cost to stock is down versus Q1 and also versus Q2 last year. We see that realized full cost has now come down from the peak in Q2. We expect lower full cost in the second half this year on positive scale effects from higher volumes, operational improvements, and lower feed price. And at Mowi, we have a strong focus on cost containment, on cost leadership in the seven farming regions we operate. This has been a highly prioritized area in Mowi for several years with a number of initiatives to offset the underlying cost pressure. On a relative basis, Mowi scores well versus our peers and we are consistently number one or number two in the various regions we operate. This has been achieved through good execution, achieving operational improvements. A couple of recent examples. In 2023, we were able to keep cost items other than feed stable on a per kilo basis despite underlying inflation. This is a good achievement in today's environment. And furthermore, our most important business unit, Mowi Norway, has stable overall cost per kilo, including feed in Q2 this year versus Q2 last year. This is another strong achievement. And then we expect lower realized full cost in Q3 and Q4. While prices for non-marine ingredients have already come down. Feed prices in 2023 were kept high due to high marine ingredient prices. Marine ingredients represent approximately 20% of total farming full cost. And in 2023, the anchovy catch in Peru was disrupted by El Nino. This was an important driver behind the high marine prices. Therefore, it was very positive that we now saw a successful first catch season in Peru this year with a volume above historical levels and good oil yields. The second season is expected to start, sorry, in October. And already, marine prices are down approximately 25% from the peak and the feed prices have been reduced In 2024. Provided a normal second catch season, we expect continued reductions in feed prices, and as mentioned, we also estimate then a lower full realized cost on the back of this as well. Cost-cutting initiatives are very important. In the last years, we have attacked costs from two main angles. Firstly, a long list of operational improvements has led to Mowi being a better cost performer; for example, because we have increased volumes, we utilize our licenses better, our assets better, we conduct our business activities in a better way. Secondly, we had a strong -- we have had a strong focus on cost improvement and cost savings programs where we set concrete targets in all kind of areas of spending throughout organization. The measures are verified by the controllers and are reviewed by headquarters. And so far in 2024, we have realized EUR22 million in annualized cost savings, which means that we are well ahead of schedule to reach our EUR25 million target this year. And since 2018, we have realized as much as EUR307 million in total cost savings, of which EUR207 million in farming. There's a total of around 1,700 initiatives across different categories, including boats, treatments, health nets, automation, productivity, procurement and other initiatives such as 4% energy cut and 50% cut in travel costs. And since we have worked this way now for several years, we have built more cost-aware teams and this places Mowi in a good position for the coming years. An important part of this cost-savings program is the productivity program on FTEs. Salary and personnel expenses, they represent the second largest cost item in Mowi, amounting to EUR648 million in 2023, and this cost item is clearly something we can influence through efforts to work smarter, become more productive. Since 2019, we have achieved an 18% productivity increase on FTEs, which means that we have delivered more than the 10% target we set ourselves back in 2020. We produced 9% more volumes with 9% less nominal FTEs. And this has been achieved through natural turnover, through retirement, reduced overtime, reduced contracted labor, automation, and rightsizing. And we are well underway to reach our target here for 2024. We then move on to sustainability, which is another strategic pillar for Mowi. Ocean-based salmon farming is on the right side of sustainability. Mowi has numerous strong ratings by various facts and science-based rating agencies looking at all aspects of our business. And further to this, we are proud to have been covered by prestigious TIME Magazine on two recent occasions. In June, Mowi was named in their list of world's most sustainable companies, highlighting corporate responsibility, sustainable practices, and in October, our collaboration with Tidal on AI-driven underwater sensing and analysis was named one of the best inventions of the year 2023. And we are of course glad that the outside world appreciates our ESG efforts in Mowi. So the world needs more salmon, and with this in mind, we move on to market fundamentals and start with the industry supply of salmon. Global supply was relatively stable versus Q2 last year, which was in line with the guidance. Consumption in the EU plus UK area grew by 3% versus Q2 last year. In the major European markets, demand continued to be supported by positive retail developments. Promotional activity carried on into the second quarter, and this was positive for market activity and consumer demand. Estimated foodservice demand was stable in Europe in the second quarter. And then the consumption in the US decreased by 7% compared with the same quarter in 2023. We know the US market has an over-indexation to foodservice and retail development was somewhat muted. And also the category is still less developed in retail. Lower shelf prices for salmon continued to trend slightly down in the quarter. This should be positive for consumer uptake in the second half. Shelf prices are so far only slightly down. So we believe that this demand effect will come as this development continues. And then we also know that the US market has grown by as much as 5% on a CAGR basis the last five years, almost double the rate of global growth supported by salmon megatrends. And we expect that a pattern of short-term demand fluctuations to work itself out in due course and that we return to a growth trend. We've already seen some indications of a turn in the trend in retail volumes during the quarter. Consumption in Asia increased by 4% compared with the same period in 2023. The Chinese and Hong Kong market continued to grow, driven by foodservice. Retail sales also grew through increased e-commerce offerings, and consumption in other Asian markets continued to grow somewhat on good underlying demand and increased sourcing from Europe and Americas. While European prices have been strong and have followed the usual seasonal pattern, the US retail market is somewhat behind on the recovery curve compared with Europe, and we have seen some muted prices in Americas. But despite some short-term headwinds in the US, the market looks tight in the coming years. We estimate supply growth overall for 2024 to only 1%, and this is expected to be limited also in 2025 and the coming years. But Mowi is set to deliver more volume growth than the overall industry. Our guidance of 500,000 tonnes represents 5.3% increase from last year. We've done some minor volume changes for Chile, Ireland and Iceland, but the total number remains. Then let us hear some comments from Ivan on the outlook.
Ivan Vindheim: Thank you, Kristian. Much appreciated. Right. Then it's time to conclude with some closing remarks before we wrap it all up with our Q&A session hosted by our IRO Kim Dosvig. As we said earlier this morning, the second quarter was a strong quarter for Mowi operationally with good biology and seasonally record high growth in sea to mention a few after what I think is fair to say -- or after what is fair to say, a rather challenging quarter in the first quarter due to issues with sores in Mowi in Norway. And this materialized in seasonally record high harvest volumes of 110,500 tonnes in the quarter, which was put on our guidance, and irrespective of season, a record high standing biomass in sea at the end of the quarter of 327,000 tonnes, which is up by 28,000 tonnes year-over-year or 5.3%. And as we said earlier this morning, biology has also continued well through the summer into the third quarter. So we have therefore, as Kristian just showed us, reiterated our farming volume guidance of 500,000 tonnes for the year, which is a milestone for us as it will be the first time in Mowi's six years history we cross the, for us, magic 500,000 tonnes mark, and which is equivalent to a growth of 5.3% year-over-year, and by that surpassing that of the wider industry by a large margin once again, because according to Kontali, the industry is expected to grow by only a margin of 1% this year. So Mowi's idiosyncratic growth continues. I would like to remind the audience that we harvested as recently as in 2018 only 375,000 tonnes in Mowi, which means we have grown our farming volumes by 125,000 tonnes over the past six years or a CAGR of 4.9%. And this is important because, as we have said numerous of times, the farming volumes and therefore farming volume growth are the mainstay of our business model and then lifeblood of this industry. Otherwise, good biology also manifested itself in a drop in realized blended farming cost in the second quarter, and we expect a further drop in the third quarter due to higher harvest volumes and therefore more dilution of fixed costs in addition to lower feed prices as fish meal and fish oil supply recovers, driven by a normalized anchovy fishing season in Peru this year, following the end of El Nino induced shortages. In terms of the market, we are now at that time of year when seasonally high industry supply puts pressure on prices, and this year is no exception to that rule. But the underlying demand for our European salmon is strong, so we expect to see the usual price recovery towards Christmas when industry supply slows down on lower sea temperatures and less growth in sea and Christmas demand starts kicking in. And in parallel with western economies continuing to recover, coupled with falling retail prices, we expect the salmon consumption in Americas to gradually pick up the pace as well. And this, combined with limited supply growth going forward, I would say, fundamentals are still looking very strong. Then, some marketing in the end. As this heading reads, please save the date of the 25th and 26th of September because then we will hold a Capital Markets Day in central Norway where we will present our operational and strategic plans for the coming years. There you'll also get the opportunity to have a first-hand look at our 410,000 tonnes feed factory in Bjugn, our 6,200 tonnes smolt and postsmolt facility at Nordheim, which happens to be the world's largest according to my numbers; not to mention our brand-new state-of-the-art primary processing plant at Josnoya, our feeding station in central Norway, our smart farming concept, just to mention a few. So once again, please save the date of the 25th and 26th of September. I think it will be worth your while. So then, Kim, I think we are ready for the Q&A session. So if Kristian can please join me partly on the stage, a very small stage here today. There's not much room for more than me, I'm afraid.
A - Kim Dosvig: Very good. Thanks Ivan and Kristian. So we have received some questions from the web. Due to the time limitations this time around, all analysts will get responses to their questions later on today, but we have time for two questions. The first one is on cost. If you can elaborate on the cost development in Q2 and also provide some more comments on the outlook on the cost reduction.
Kristian Ellingsen: Yes, we are very satisfied, of course, with this development. I think it's very exciting that we have seen a turn in the cost curve. We see that the cost to stock curve has turned, the cost in stock in biomass, we have seen a turn. So according to me at least, this is not a one-off. This is a lower cost situation driven by, of course, us being able to contain other cost items than feed, as already mentioned. And then we have then seen a reduction in feed prices, which of course is a main driver here. And then the magnitude will also of course depend on continued feed price developments. Yeah. So I think we prefer not to go into specifics on the magnitude et cetera, but we definitely see a cost reduction ahead.
Kim Dosvig: Very good. And then the last question, maybe for Ivan. If you can comment on the biomass development in the quarter. There are some comments in the report about good growth in sea. If you can elaborate, please.
Ivan Vindheim: Yeah. So as we said during the presentation, we have never seen a better growth in this part of the year. And I can also add to that that July was very good for us. We have harvested record high harvest volumes and the biomass was still record high. So another five months more to go in this year. That being said, we know that things can happen in this industry. It's -- this is biology and biology is the law. Everything else is just a recommendation. So -- but so far so good, Kim. It has been a good year apart from the start of the year in terms of growth, in terms of the overall biological KPIs. So for the rest of the year, I'm just crossing my fingers and hope that we will not, what shall I say, wreck it on the home stretch. So no, we are good. We are good, but we are far from self-confident. We are always humble.
Kim Dosvig: Okay. Thank you. That wraps up the Q&A session.
Ivan Vindheim: Right. Then it only remains for me to thank everyone for the attention. We hope to see you already on the 25th and 26th of September at the Capital Markets Day, and if not, at least in November in connection with our third quarter release. Meanwhile, take care and have a great day ahead. Thank you.